Operator: Good day, and welcome to the Cheniere Energy Inc. Q2 2022 Earnings Call Webcast. Today's conference is being recorded. At this time, I would like to turn the conference over to Randy Bhatia. Please go ahead sir. 
Randy Bhatia : Thanks, operator. Good morning, everyone and welcome to Cheniere's second quarter 2022 earnings conference call. The slide presentation and access to the webcast for today's call are available at cheniere.com. Joining me this morning are Jack Fusco, Cheniere's President and CEO; Anatol Feygin, Executive Vice President and Chief Commercial Officer; and Zach Davis, Executive Vice President and CFO. Before we begin, I would like to remind all listeners that our remarks including answers to your questions may contain forward-looking statements and actual results could differ materially from what is described in these statements. Slide 2 of our presentation contains a discussion of those forward-looking statements and associated risks. In addition, we may include references to certain non-GAAP financial measures such as consolidated adjusted EBITDA and distributable cash flow. A reconciliation of these measures to the most comparable GAAP measure can be found in the appendix of the slide presentation. As part of our discussion of Cheniere's results today's call may also include selected financial information and results for Cheniere Energy Partners LP or CQP. We do not intend to cover CQP's results separately from those of Cheniere Energy Inc. The call agenda is shown on slide 3. Jack will begin with operating and financial highlights. Anatol will then provide an update on the LNG market, and Zach will review our financial results and guidance. After prepared remarks, we will open the call for Q&A. I will now turn the call over to Jack Fusco, Cheniere's President and CEO. 
Jack Fusco: Thank you Randy. Good morning, everyone. Thanks for joining us today and thank you all for your continued support of Cheniere. I'm pleased to be here this morning to review our second quarter 2022 achievements and discuss our 2022 positive outlook. The second quarter achievements were highlighted by the positive FID of Corpus Christi Stage III earlier this summer. In June, we issued a full notice to proceed to Bechtel, which had already commenced early construction under a limited notice to proceed earlier this year. The strategy of releasing Bechtel under limited notice to proceed ahead of a full FID continues to pay dividends as it locks in schedule and cost, which is especially important in today's inflationary environment. We are excited to move forward on this highly economic growth project, which will strengthen our market-leading LNG infrastructure platform and provide much needed LNG to the global market. The FID of Stage III is a milestone. The entire Cheniere workforce should be proud of as it was made possible by everyone's dedicated and tireless efforts to bring this project to fruition. Over the last decade, Cheniere has set the bar on safety and project execution and we look forward to continuing those results with Stage III. Please turn to slide 5 where I will review some of the key operational financial and strategic highlights from what was a very busy and successful quarter as well as introduce our upwardly revised financial guidance ranges for the full year. For the second quarter, we generated consolidated adjusted EBITDA of approximately $2.5 billion and distributable cash flow of approximately $1.9 billion as margins in the LNG market remains significantly above historical norms and our focus on operational excellence continue to be rewarded. Our EBITDA and cash flow metrics for the second quarter both exceeded what we achieved in the first half of 2021, a powerful illustration of the impact of world-class execution and safe, reliable operations, which have become synonymous with the Cheniere brand. The energy crisis in Europe continues to evolve and it is at the center of a tragic and devastating war. The United States is blessed with an abundance of low-cost natural gas and I am proud that our collective efforts at Cheniere are having a direct and positive impact on the lives of so many people around the world. We produced loaded and exported 156 cargoes in the second quarter, as our operations benefited from the full quarter of operations of Train 6 at Sabine Pass. As of the end of the second quarter, nearly 225 cargoes of LNG, which is over 70% of the cargoes produced at our facilities so far this year have landed in Europe. By comparison, in the first half of last year, less than 40% of the cargoes produced by Cheniere landed in Europe. Clearly, the benefits of the flexibility inherent in the commercial structures of our contracts are on display. That is enabling the LNG we produce to reach the markets with the greatest need. For the third quarter in a row, our guidance ranges for 2022 are moving higher by over $1 billion. We now forecast consolidated adjusted EBITDA of $9.8 billion to $10.3 billion and distributable cash flow of $6.9 billion to $7.4 billion. Thanks to the expected lump sum payment by Chevron under the termination of the regasification EUA and marketing margins moving higher compared to our prior forecast. Zach will address guidance in more detail in his comments in a few minutes. On the marketing origination front Anatol and his team have been racking up frequent flier miles and bringing home more long-term contracts with customers around the world looking to secure long-term reliable supplies of LNG in support of energy security and energy transition. Just since the start of the second quarter and through July, we have entered into long-term contracts aggregating approximately 140 million tonnes through 2030, since our first quarter earnings call. We announced long-term SPAs with POSCO International, Equinor, Chevron, PetroChina and PTT. All of these contracts extended beyond 2040 and the PetroChina SPA is our first LNG contract that extends into the second half of this century. Over the last 12 months we have signed SPAs and IPM deals aggregating up to approximately 15 million tonnes per annum and up to over 240 million tonnes in aggregate. The contracts with Equinor, Chevron and PetroChina each contain a provision where the long-term contracted firm volume will double either once we make a positive FID on liquefaction capacity expansions at Corpus Christi beyond Stage III or we unilaterally commit to the volume. So after reaching FID on Stage III only weeks ago, we've already sold an incremental almost three million tonnes per annum of volume beyond Stage III. Those contracts clearly demonstrate the demand in the market and my leadership team and I are very focused on Cheniere's next phase of growth. The investments we made at Sabine Pass in Corpus Christi over the last decade provide both of those sites with significant brownfield expansion opportunities and you can be certain we're pursuing growth at both facilities. At Corpus Christi, we see a number of potential ways to leverage the infrastructure we've built or are building to add economically advantaged LNG capacity from a smaller scale edition that could conceivably be done faster all the way to a very large expansion on the land adjacent to Stage III we've shown you in the past.  At Sabine Pass, with our third birth nearing completion, infrastructure hurdles to expanding SPL are being cleared and we are currently developing plans for a potentially significant expansion of that facility as well. Later this year, I look forward to providing more detail on our growth plans at both Sabine Pass and Corpus Christi as we move into the regulatory process and communicating our enhanced capital allocation plans for the coming years. Turn now to slide six. On these calls, you've heard me talk about our operational excellence program. That program establishes the key operating philosophy of Cheniere of which safety, reliability, and efficiency form the foundation. That program ensures safe operations and maintenance of our facilities, while maximizing production and efficiency. While always one of my key priorities, operational reliability has become a key focus of those outside Cheniere as well, especially with high LNG market prices in Europe in the midst of an energy crisis. First and foremost, with respect to safety, we have a safety-first culture at Cheniere and I'm extremely proud that our safety record demonstrates that. On the bottom of slide six, the graph shows our total recordable incident rate, the preeminent safety metric of an operating facility, and a metric that is part of the compensation calculation for each and every Cheniere employee. You can see that not only have we exhibited consistent improvement over the course of last year during which we commissioned and started commercial operations of Train 6, but also that Cheniere's performance on this metric is comfortably within our industry's top quartile. Safety and reliability go hand-in-hand. It signifies an employee's ownership in the facility, a strong safety metric and operations typically leads to reliable operations of the facility. The middle of the slide shows our facility utilization since 2021 which is yielding production consistent with our run rate range of 4.9 million to 5.1 million tonnes per annum per train. Our utilization is consistently above 90% compares favorably to the 2021 global average of about 80% and demonstrates the value of our operational excellence program. I tell our operations leadership team that safety is an investment not an expense and the return on that safety investment is clearly in the results we reported this morning. Turn now to slide seven. We'll highlight two significant milestones recently achieved with respect to our ESG and Climate and Sustainability initiatives that demonstrates Cheniere's leadership position in these areas. First during the second quarter, we commenced providing our cargo emission tags or CE tags to our long-term customers. These tags are the first of its kind innovation in our industry and provide our customers with the estimated greenhouse gas emission profile of each LNG cargo from the wellhead to the cargo delivery point. The data on the tag is calculated utilizing our proprietary life cycle analysis, improving the accuracy of the emissions data relative to industry estimates. Cheniere CE tags are a tangible result of our prioritization of data-driven environmental transparency. We expect the tags will help identify opportunities to quantify and improve environmental performance throughout the LNG supply chain. In addition, in June, we published our third annual corporate responsibility report entitled Acting Today Securing Tomorrow. I am proud of the continued progress we are able to detail in these annual reports. As Cheniere is emerging as a leader in ESG for natural gas companies, with a focus on being actionable not aspirational. On that note, I want to take a moment to address some of the recent news and speculation regarding Cheniere, the EPA and the National Emission Standards for hazardous air floods, our niche shape rule. The EPA recently lifted a near two decades stay of that rule covering the types of turbines which we utilize at both Sabine Pass and Corpus Christi. At Cheniere, regulatory compliance is a strategic priority. Consistent with our ESG focus on being actionable, our company values and our commitment as a responsible operator. We work constructively with federal state and local regulatory authorities to ensure prudent operations in compliance with current regulatory requirements. We value the fact that we operate under a regulatory regime in this country that seeks and values input from the industry. And we have been in touch with the EPA, regarding our concerns with respect to the rule. Currently, we are working diligently at our facilities to perform the initial testing required by the nice shop [ph]. While we don't believe our turbine should be subject to the rule as the use in LNG operations was not contemplated by EPA in the original 2003 rule making, we will work with the EPA and the relevant state agencies to develop an acceptable path forward to compliance if applicable. At this time, it is too early to discuss what, if any specific changes would be needed. However, we are confident that if necessary would be able to develop a solution that would enable compliance without a material financial or production impact. My conviction in Cheniere's LNG platform has never been stronger. We look forward to continuing to lead the LNG industry in terms of safety, operational excellence and environmental transparency in order to provide the world with a cleaner more secure and reliable energy solution. Thank you, all again for your continued support of Cheniere. I will now turn the call over to Anatol, who will provide an update on the LNG market.
Anatol Feygin: Thanks, Jack and good morning everyone. Please turn to slide 9. As everyone is aware, the energy world has been caught in a mail stream of geopolitical and macroeconomic events that are feeding volatility and heightening uncertainty in the market. All of which have had consequential impacts on supply, trade patterns and consumer behavior across energy commodities. Amid this volatility, total LNG demand continue to grow, albeit constrained by lack of new supply and sustained elevated prices, undoubtedly contributing to the record amount of commercial activity in the second quarter. After a brief pullback in LNG spot prices in the second quarter, we've seen concerns over the dependability of Russian pipeline supply, plus numerous LNG supply issues pushed JKM and TTF forward curves back into the $40 to $50 an MMBtu range through the coming winter, pushing European electricity prices to record highs. JKM prompt month futures continue to trade at a discount to TTF during the quarter, as Europe priced cargoes away from Asia and this discount has widened as a result of further cuts to gas flows into Europe in recent weeks. During the quarter, we saw pipeline imports from Russia into Europe, excluding Turkey continued to fall, reaching modern aero lows of just over 5.5 Bcf a day in June, prior to Nord Streams annual maintenance period. US LNG imports into Europe excluding Turkey again surpassed Russian pipeline volumes for the first time in June and again in July. On the LNG side there have also been several supply disruptions as well as seasonal maintenance activities which have also acted to tighten the market. The outage at Freeport LNG has removed the equivalent of approximately 2 Bcf a day of LNG from the market. Industrial action at Shell's Prelude beginning June 10 slowed production and resulted in a shutdown beginning around July 11, which remains idle as of early August. And the restart of Norway's Hammerfest LNG which had been offline since September of 2020 was delayed to early June. Several other projects in Angola the US and Indonesia also underwent routine planned maintenance as expected in the shoulder months tightening the market further. Despite the supply challenges in LNG a recovery from below average production during the same period in 2021 contributed to a 7% year-over-year increase in global LNG exports which reached 100 million tonnes in the second quarter consistent with the previous two quarters. The US alone exported 19.6 million tonnes in the second quarter up 12% or 2.1 million tonnes year-on-year due in large part to additional capacity online at SPL Train 6. While the US was the largest LNG exporter in the first half of the year total exported volume declined modestly in the second quarter due primarily to planned maintenance and Freeport's outage. Finally, in the US gas market although Henry Hub prices have also recently touched new multiyear highs domestic prices are still well below the relative spikes in both JKM and TTF. The July contract settled at $6.55 an M [ph] down 26% relative to the June contract as supply increased and demand moderated in early June loosening the US gas balance. Since then, prices have moved up again on an unprecedented early summer heat. We're seeing a response to the price signal in the rig count as gas-directed rigs in the US are up approximately 50% year-over-year to 157 rigs. So, we would expect gas production to increase from current levels in the near future. Please turn to slide 10 for more detail on gas and LNG supply and demand in Europe and Asia. As discussed, the global LNG market remained tight in the second quarter despite winter coming to an end and a notable decline in Chinese imports. Consumers continue to endure high spot prices for natural gas especially in Europe given the reduction in Russian gas flows. During the quarter LNG deliveries to Europe climbed 40% year-on-year with volumes from the US increasing by nearly 130% year-on-year including flows from Cheniere which also increased by over 130%. Nevertheless, risks of further cuts to Russian flows continue to rise maintaining upward pressure on prices. In mid-June Nord Stream flows were reduced to approximately 40% of the capacity. And following the end of the quarter the scheduled maintenance reduced close to zero from July 11 to 20. Flows initially resumed the premaintenance levels but have since fallen to 20% of capacity. Amid these risks and high prices Germany raised its gas emergency plan to alert level while the European Commission proposed measures to reduce gas use in Europe by 15% until next spring. In the meantime, Europe continues to fast-track plans to increase LNG import capacity by over 50% to approximately 280 million tonnes per annum and has already sanctioned 11 new regas terminals representing approximately 40 million tonnes per annum just in the first half of this year. In Asia LNG demand declined about 5% in the second quarter most of which was attributable to economic headwinds in China. The country's GDP growth rate decelerated to 0.4% in the second quarter from 4.8% in the first. Shanghai the largest financial hub in the country endured strict COVID lockdowns, which was a contributing factor to a year-over-year decline in China's absolute GDP during Q2. Gas demand in the country fell 8% as a result, as city gas and power sector consumption contracted. Elsewhere in Asia, overall, demand growth was somewhat flat, although, we observed improved demand in JKT and Thailand. Nuclear power generation in Japan was down year-on-year, which led to a 9% increase in LNG imports, while maintenance of coal-fired power plants in Korea sustained existing LNG import levels. Thailand continued to exhibit LNG demand strength as higher consumption requirements offset its dwindling domestic production. The relative weakness in Asia year-to-date has counterbalanced the heightened demand in Europe, but we expect this to be a transient phenomenon with near-term weather and longer-term organic growth confirming that long-term fundamentals in Asia remains strong with ample upside potential. This view is underscored by the demonstrated appetite for long-term LNG volumes exhibited by Asian customers this quarter, including our recently announced long-term contracts with POSCO, PetroChina and PTT. Please turn to Slide 11. Needless to say, the impact of Europe's energy crisis have already been far reaching, with significant consequences observed across multiple sectors of the economy, including food and commodities. This backdrop has exposed some vulnerabilities within gas and LNG markets around the world not just in Europe and has accelerated the impetus for gas consumers to secure reliable long-term LNG supply. In the first half of 2022, buyers around the world signed nearly 38 million tonnes per annum of firm long-term contracts globally, the highest level since at least 2016. Most of these from contracts or 28 MTPA were signed with US sellers potentially underpinning a new round of LNG infrastructure investment in the US. In just the first seven months of 2022, we have already had our most productive year for long-term contracting since 2011 continuing to successfully grow our portfolio of diverse creditworthy customers. The long-term deals we concluded, completed the commercialization of Stage III. And as Jack mentioned, LNG buyers have already begun to contract to our next phase of growth. Our commercial success further cements our position as the LNG provider of choice for buyers worldwide. Since just the start of the second quarter, we executed long-term transactions with FOB, DES and IPM structures with creditworthy counterparties from Asia, Europe, Canada and the US super major. This geographic and structural diversity is a prime illustration of the value of the Cheniere brand that Jack referenced and what sets Cheniere apart. The certainty on execution, the safe and reliable operations and our unrivaled ability to structure long-term energy solutions tailored to fit the needs and preferences of a diverse global customer base. On the buyer side, you can see from the middle chart that a greater variety of buyer types are contracting for US LNG given the stability and flexibility Gulf Coast FOB volumes can provide for their portfolios. While portfolio players still represent a significant portion of US LNG buyers or prospective buyers, we observed that the end user segment has also been growing, including those potentially servicing Europe. Finally, while Europe's target to displace Russian gas certainly creates a near-term increase in LNG demand, you can see from the chart on the right that credible commentators are forecasting this heightened demand to persist despite expectations for the region to reduce its overall gas demand over that same period. This uncertainty highlights Europe and the world's need for flexibility and reliability of supply to highly valued attributes of the long-term product we offer. Our conviction in the long-term global market fundamentals for our products remain as strong as ever, and our demonstrated ability to construct LNG solutions tailored to customers across the globe places Cheniere in an ideal position to continue to win business and grow our market-leading LNG platform for many years to come. And now I'll turn the call over to Zach to review our financial results and guidance. 
Zach Davis: Thanks, Anatol and good morning, everyone. I'm pleased to be here today to review our second quarter 2022 financial results, our key financial accomplishments and our increased 2022 guidance, all of which reflects the hard work and dedication of the Cheniere team, the reliability of our platform and the volatile state of the global energy markets Anatol just described. Turning to Slide 13. During the second quarter, we generated adjusted EBITDA of $2.5 billion, distributable cash flow of approximately $1.9 billion and net income of over $700 million. Our second quarter results once again were driven by the sustained higher margin environment across global LNG markets, coupled with higher lifting margins, due to higher Henry Hub prices. We recognized an income 574 TBtu of physical LNG during the second quarter including 570 TBtu from our projects and four TBtu sourced from third parties. Approximately 85% of these LNG volumes recognized in income were sold under long-term SPA or IPM agreements. We are pleased to announce that we generated positive net income of $741 million in the second quarter. However, the net income line continues to be impacted by the unrealized non-cash derivative impact related to our long-term IPM agreements as we have discussed on prior earnings calls. In fact we recognized $1.3 billion of these unrealized non-cash derivative losses in the second quarter alone, as Gulf Coast netback curves continue to rise in Q2. As a reminder, because GAAP requires mark-to-market accounting of these long-term gas supply agreements but does not permit the mark-to-market of the associated sale of LNG, resulting in a mismatch of accounting methodology for the purchase of natural gas and the corresponding sale of LNG, which drives this quarterly variability in net income from period-to-period. As Jack noted, during the quarter we launched and closed on our widely syndicated financing for Corpus Christi Stage III, raising approximately $4 billion of new capital, which was the final step needed for us to reach FID. As part of the financing, we amended and restated the CCH credit facility with 36 financial institutions, increasing total commitments by $3.7 billion to approximately $4 billion, extending the maturity by multiple years and reset the borrowing rate to SOFR plus 150. Approximately $300 million of outstanding borrowings were rolled over from the previous facility. And since closing in June, a little over $400 million was incrementally drawn as of the end of the quarter. In addition to the credit facility, we amended and restated the working capital facility at CCH, increasing commitments by $300 million to $1.5 billion extending the maturity to 2027 and reset our borrowing rate to SOFR plus 125. The working capital facility remains undrawn. We are appreciative of a long-term partnership with our global bank group that has consistently supported us through the years including on Stage III, which further highlighted Cheniere's ability to continue to develop and structure world-class infrastructure projects with brownfield economics, underpinned by lump sum turnkey EPC arrangements with Bechtel and a diverse mix of long-term creditworthy take-or-pay commercial contracts. Thanks to our financial results so far this year and the expected proceeds from the early termination of our TUA with Chevron. We continue to make progress on our comprehensive long-term capital allocation plan on a significantly accelerated schedule. Not only has our prioritization on debt paydown accelerated the deleveraging of our consolidated balance sheet, but also we are more than halfway through our three-year $1 billion share repurchase authorization in less than a year. During the quarter, we prepaid $1.1 billion of outstanding indebtedness bringing our total debt repaid or redeemed to just over $3 billion under our capital allocation plan. So, we are more than three-quarters of the way through our four-year deleveraging goal in about a year and a half years. The expected proceeds from the Chevron prepayment will likely further accelerate the pace of our deleveraging by the end of the year. In the second quarter alone, we repurchased 4.1 million shares for approximately $540 million, including approximately 2.7 million shares from Icahn Enterprises for approximately $350 million, which brought its shareholdings in Cheniere below the threshold for Board representation established in the nomination and standstill agreement that has been in place since 2015. We have also continued to declare and pay our quarterly dividend of $0.33, which we plan to grow over time now that we have completed or announced the first four quarterly payments. And finally, in terms of allocating capital to accretive growth projects, we reached FID in Corpus Christi Stage 3 and issued Bechtel full notice to proceed in June. Given this accelerated progress and our approximately $7 billion of forecasted DCF in 2022, our plans for a revised capital allocation plan have also accelerated. And we anticipate coming to The Street with an updated plan for the future before the end of the year. While robust deleveraging and reaching investment grade in the next year or so will remain a priority, you can likely expect a recalibration of allocation between debt paydown, shareholder returns and future growth on a relative basis, particularly as we continue to develop and commercialize this future growth. Turn now to Slide 14 where I will provide some more detail on our third consecutive significant increase to 2022 guidance. We are increasing the midpoint of our guidance ranges for full year 2022 consolidated adjusted EBITDA and distributable cash flow, each by over $1 billion, bringing expected consolidated adjusted EBITDA to $9.8 billion to $10.3 billion. Distributable cash flow of $6.9 billion to $7.4 billion. With the recent distribution announcement for CQP, we are also tracking to the high end of the $4 to $4.25 guidance range. As Jack mentioned about half of the $1.6 billion increase in EBITDA is attributable to the expected proceeds from the early termination of the TUA with Chevron set to be paid to SB LNG prior to year-end. The other half is due to curves moving higher over the balance of the year. In addition, our forecast has improved due to smaller contributing factors, such as some of the open capacity for 2022 that was previously reserved for long-term origination, being released to CMI, higher lifting margin, lower shipping costs and some third party sourcing and portfolio optimization. With respect to the EBITDA sensitivity from here, we have sold much of our total expected production for this year and have approximately 40 TBtu unsold remaining. We currently forecast that a $1 change in market margin would impact EBITDA by approximately $20 million for the rest of 2022, as we continue to reserve some unsold volume for long-term originations in Q4. 2022 continues to prove the power of the Cheniere platform and what can be achieved when operational excellence and seamless execution are combined during an elevated commodity backdrop. Thanks to our team's relentless focus on safety and reliability at both of our facilities. We continue to outperform expectations with respect to operational performance and financial results, which brings an even stronger balance sheet, increased shareholder returns, and further accretive growth into focus. That concludes our prepared remarks. Thank you for your time and your interest in Cheniere. Operator, we are ready to open the line for questions.
Operator: Thank you. [Operator Instructions] Our first call will be Jeremy Tonet with JPMorgan.
Jeremy Tonet: Hi. Good morning.
Jack Fusco: Good morning, Jeremy.
Jeremy Tonet: It seems like Cheniere has been quite successful in signing up new contracts, as of late particularly with Asian buyers. And some of those contractual terms have showed that part of it is contingent on expansion beyond CCL Stage III. And so, I was just wondering, what the pace of new contracts could be? Do you see more of these coming in the near term? And are they going to be contingent on a further expansion? And if so when might we hear more about that?
Jack Fusco: Jeremy, thanks. And I can give you a little bit of color right now, if you'd like. So as you all know, strategically, we have a track record right of capitalizing on all the infrastructure and the sites that we've built. So we have executed on that strategy and expanded our portfolio by over 20 million tonnes so far over 60%, and that's Corpus 3 Sabine six and now Stage III. So I still view both sites as being excellent for major brownfield LNG expansion. So at Corpus specifically, and since you asked about the contracts Corpus is growing to just over 25 million tonnes with the addition of Stage III. We have a clear line of sight to get Corpus over 30 million tonnes on par with Sabine Pass. With the addition of a few more mid-scale trains as an expansion of Stage III, as well as some debottlenecking and tuning efforts. And so in terms of growth plans, we believe that that's the lowest paying fruit. And it's expected to be extremely cost effective, and potentially seamless with Bechtel already on site. Additionally, both at Sabine and at Corpus, both of those sites are ripe and ready for much larger expansions. So, we're currently working on early-stage developments, of over 30 million tonnes between those two sites. So as you highlighted, the energy crisis abroad has brought reliability and energy security and really the flexibility of Cheniere's LNG into sharp focus around the world, and that includes Washington. So the US LNG is rightly seen as a logical long-term balance, or a long-term solution, how balanced the shortages in Europe. And I believe that, the permitting reform that's currently being talked about in D.C. is a very positive development. It should enhance the regulatory tailwinds for well-developed commercially sound brownfield projects like ours and what we're about to propose longer term in our growth forecast. So I hope that helps.
Jeremy Tonet: Yes, that's very helpful. And I just wanted to pivot to capital allocation if I could. And I know there's a bigger update coming towards the end of the year here. But it seems like at this point Cheniere has clear line of sight to hitting targeted leverage and reach full investment grade in the not-too-distant future here. And so I just want to know process-wise, when you're thinking about buybacks, would you think of buybacks in terms of balance sheet capacity, or stock price, or think of it more in a holistic manner certain return of capital to shareholders that would be a combination of dividends and buybacks as a certain percentage of free cash flow or such?
Zach Davis: Hey Jeremy, it's Zach. And thanks for the question. I mean, it was less than a year ago we came out with capital allocation. We thought we'd have $10 billion of available cash through 2024. Maybe it's double at this point just where the curves are? And how much earlier Train six came online? So yeah, we're going to owe everyone a capital allocation plan with much bigger numbers this year, because it's just been so much more accelerated. So as we think about it, there's this pile of money and how do we break it out. And we'll definitely recalibrate to an extent the debt pay down to shareholder returns. No need for the 4:1 ratio of debt paydown to buybacks going forward. So there's going to be quite a bit of money allocated to share buybacks overtime. And as you can see, we did over $0.5 billion just in Q2 and you saw some of the dislocation there and we were really opportunistic. So you can assume that that's going to happen. There'll be a regular cadence quarterly that we will always be buying back stock, but we'll be extra aggressive whenever we see things like what happened in June.
Jeremy Tonet: Got it. That's very helpful. Thank you.
Operator: Thank you. [Operator Instructions] We'll now move on to Marc Solecitto with Barclays.
Marc Solecitto: Hi. Good morning. Maybe just following up on the longer-term growth outlook with respect to expansion beyond Stage 3, I want to get your latest thoughts around what the next iteration of that could look like after factoring in the recent contracts you've signed. It seems like you could potentially move forward with a larger scale train at this point or even a larger expansion with a couple more contracts. So just curious to the extent you could comment on, how you're thinking about that versus modular expansions?
Jack Fusco: Marc, hi it's Jack. I mean, the way I'm thinking about it is, I want to do whatever expansion I can do quickly and in a financially disciplined way. And right now, for us, it looks like adding to the mid-scale trains, we can do very quickly with -- and economically hit all of our financial metrics. And rather than get caught up in a long-term regulatory review of our large-scale expansion. So my first goal is to just grab all the low-hanging fruit that we possibly can right now today. And then, make sure we're filing and being respectful in those filings of what the longer-term expansion plans are for both sites. And that's near-term also. But I just think there's -- we have an opportunity to add to our growth plans in a very effective way and we need to take advantage of it.
Marc Solecitto: Thanks Jack. It's very helpful. And then with respect to Europe, curious how your discussions with customers there have gone and whether with the most recent curtailment of volumes on Nord Stream and reescalation and gas prices has that at all changed some of the discussions over the past month or so?
Anatol Feygin: Yeah. Thanks Marc. This is Anatol chiming in. The discussions have been very robust for the better part of the year, really in the market broadly and Europe obviously the tragic events that played out at the beginning of the year and continue to play out does add sense of urgency. You've seen us do transactions with Equinor NG those are transactions that we think probably would have gotten done anyway, but perhaps were done sooner. And then, of course, on the Europe front there is a tremendous push to add infrastructure to debottleneck, regas infrastructure running at well over 80%, and now will grow most likely by about 50%. And even given our business model and the transactions we enter into again with the Equinors, the Chevrons of the world, et cetera can all serve European demand. So, kind of, like a lot of the things you hear from us it's all of the above and we continue to be very well engaged. And to Jeremy's question, we do see continued great opportunity to support Asia's growth not just to help rebalance Europe.
Marc Solecitto: Got it. Thanks for your time.
Operator: Thank you. And next we'll move on to Jean Ann Salisbury with Bernstein.
Jean Ann Salisbury: Hi, good morning. I want to ask any detailed questions about the EPA thing. I know it's kind of a sensitive situation. But I am just wondering, if we should expect a resolution on it before the 180-day mark, which is coming up in a few weeks?
Jack Fusco: Maybe Jean Ann is there because -- and I just want to say look I've worked in and around the EPA for well over my 40-year career. And I'm very familiar with the EPA their processes and what their expectations are. As I talked about on my speaking remarks, we've been testing the turbines with Baker Hughes at our side. Bakers or turbine OEM to try to make sure that we provide the data that they want by the September 5th date. I have to say being an own performance engineer from my days at PG&E back in the 1980s, the testing procedure in itself is very difficult. It relies heavily on correlations and calculations and estimates and guesstimates of the formation of formaldehyde. So we're working closely with the EPA as we're talking just working on what an accessible test program looks like, and what the shortcomings are from that program in and of itself. And as you know from your comments, 91 parts per one billion is an awful small number and very difficult to measure at least with today's technology. But we will continue to work closely with the EPA. And I think ultimately the situation is manageable. I think the solutions will be immaterial to Cheniere both from an operational perspective and a financial perspective.
Jean Ann Salisbury: Great. Thank you. And then as a follow-up, what do you view as the maximum amount of US LNG liquefaction that the US could realistically build, concurrently over the next four or five years? And what sets that liquefaction? It's obviously, a very big talking point in the market right now, and you guys know more than pretty much anyone. So, interested in your opinion there. 
Jack Fusco: In the next four or five years, Anatol, what's the maximum amount that US can build? 
Anatol Feygin: Yes. So, Jean Ann, I will admit that the answer to that question has changed modestly over the last six months. And it is probably higher today, than we would have put it into our base case. But the constraints have changed and the constraints are very different today. As we said, the way we prosecute these projects with lump sum turnkey, commercial support, gas supply solutions, all of those boxes checked, on a disciplined and attractive risk-adjusted basis. Those boxes are getting more difficult to check, right? The commercialization issue, which was a key gating factor two or three years ago obviously, year-to-date less so with well over 30 million tonnes of SPA signed by US projects, and other 20-plus million tonnes of HOAs. That is not the gating factor, but running the gauntlet on all these other pieces and having the EPC economics that support that commercialization. Zach's prowess in financing these things, is not that widely distributed and the gas supply solutions that our guys come up with are becoming more and more difficult. So, all those issues are going to be the limiting factor.
Jean Ann Salisbury: Great, Thank you.
Operator: Thank you. We'll move on to Brian Reynolds with UBS. 
Brian Reynolds: Hi. Good morning, everyone. Looking at 2022 guidance seems like $10 billion is roughly the right number to end the year for EBITDA. But when looking ahead at 2023, it seems like the CMI margin opportunity has expanded, just given the roll forward in hedging and strengthen prices relative to 2022 EBITDA. So I was kind of just wondering, if you could talk high level about some of the moving pieces, when considering what's changing in terms of stock contracts and CMI capacity, as we look ahead into 2023 versus 2022? Thanks.
Zach Davis: Sure. This is Zach. And you know, full well we don't really give guidance on 2023, until the November call. So that's coming in a couple of months. But what I can say is that, we're comfortably over 90% contracted on our nine trains, plus Stage III at this point through the mid-2030s. And for the next decade, we're on average 95% contracted across everything. However, considering a few of the remaining contracts, aren't going to stand up or start until 2023 or even early 2024. There is actually a reasonable amount of open capacity next year, especially in the first half before most of these contracts, that still haven't started yet, related to the first nine trains begin. But that's not to say we're not still comfortably over 90% even next year. But if you look at the curves, and on average for the rest of this year, next year, high 20s if not better, we're comfortably confident that we can beat the $5.5 billion of run rate EBITDA on nine trains again next year. So it could be a really strong year, before 2024 or so, where we're almost fully contracted on the nine trains until Stage 3 ramps up in 2025, 2026 and then we have a little more open capacity again. 
Brian Reynolds: Great. I appreciate all that incremental color. Maybe just a follow-up on the CCL Stage 3. I know you've gotten a few questions on this already. But just kind of curious if you can talk about brownfield expansions like with mid-scale at existing CCL Stage 3 and Sabine that would limit the regulatory approval versus like permitting a whole new site and going back to FERC which is -- it seems like the long-term plan at this point. But is there anything in the interim on the mid-scale perspective at CCL Stage 3 or Sabine that could potentially be brought online earlier just given that you already have almost three MCP contracts signed? Thanks.
Jack Fusco: Yes. No, we are FERC-regulated site. So, it doesn't matter what technology -- and in fact it doesn't matter what we do, we always go back to FERC and then FEMSA and now the EPA. So, I didn't want to mislead you on that aspect of it. There -- the degree of difficulty in my opinion is different from doing a modular expansion to a whole new large scale, large train construction program as far as getting through FERC and the engineering required. So, since we've already engineered and got fully permitted seven trains -- mid-scale trains, it should be significantly easier to just add to those seven trains and punch amount but it still requires FERC approval. 
Brian Reynolds: Great. Appreciate the color. Have a great rest of the morning.
Operator: Thank you. Next we move on to Matt Taylor with Tudor Pickering Holt & Co. 
Matt Taylor: Yes, thanks for taking my questions here. I wanted to go back to Euronet in terms of behavior there as we're seeing a lot of those Western European countries can be really focused on getting through the winter here. So, I guess the question here is have you seen structural change in that behavior meaning should we expect to see interest? Like you said it's already picked up, but interest picking up even once we get to next year or are you still seeing LNG imports being viewed as a short-term measure to backfill Russian gas before turning back to say mothball baseload generation so that they can support renewable development?
Anatol Feygin: Yes. Thanks Matt. The first step in solving this crisis that Europe has pursued very aggressively is the infrastructure solutions. The issue of lining up contractual long-term molecules for those infrastructure solutions is something that has been somewhat successful, let's say, and something that will we think be largely intermediated. So, the support that the market will get from the IOCs intermediating these issues is clearly what you're seeing in the Chevron, Exxon, even Equinor transactions that have been executed lately as well as some European customers. Again the NGs and the ENBW, for example, that was done with another project falls into that bucket. But you really can't get away from the fact that demand growth and real sort of underlying increase for LNG imports is going to be driven by Asia into the 40s and 50s. And the fact that we now have deals that go into the late 40s and into the early 50s from that theater, really support that. So that's the balancing act. But, of course, the flexibility and reliability of our products will go to the market of most need as it has for over 70% of our volume to-date.
Matt Taylor: Great. Thanks for that. And maybe as a follow-up to that then, we're starting to see longer-term contracting on those regas terminals. So, is that something that acquiring or building those types of assets? Would that fit your risk-reward preferences and you guys get involved on the debottlenecking of infrastructure in Europe? I mean Sabine was previously an import facility.
Anatol Feygin: I guess to -- the short answer to that is, we'll have at least 60% if not 90 and maybe even more million tonnes of additional European import capacity really without our involvement. So we're happy to look at things. We, obviously, are in the market, but to-date that hasn't required our participation. And frankly, we don't expect it to going forward.
Jack Fusco: It hasn't slowed us down at all on our growth plans.
Matt Taylor: Great. Thanks for taking my question.
Operator: Thank you. And next we'll move on to Michael Lapides with Goldman Sachs.
Michael Lapides: Nice try. Hey, guys. Thanks for taking my question. I actually have a couple. One, Jack, just curious -- actually this is the first one is for Jack. Second one is probably for a combo of Jack and Anatol. The first one just on the knee cap issue. Is there anything that your team is saying to you that would keep you in the EPA book state in federal from entering consent decrees that give you a lot of time to come into compliance if coming in the compliance is required?
Jack Fusco: Yes. I mean that would be the logical next step. If we could not get a subcategory and get a stay on our turbines, which is what we believe is -- would be the correct thing for the EPA to do since this rule was in place in really 2003, 2004, and our facility was approved in 2011, that we think it makes sense for them to put us in a subcategory. But if not, we would go into negotiations, some type of consent degree, most logically with the state agency, which in our case would be Louisiana, LDEQ, and we would go from there just like we have many times before. And like I said Michael, I have in my career many, many times.
Michael Lapides: Got it, okay. And then, a long-term question. And this is just -- when you're talking account our parties and especially, the utilities in Asia. What are they saying to you these days, just given what's happened to global gas prices about the future of their coal generation fleets?
Jack Fusco: Well, I'll give you my perspective first and then, Anatol can chime in. Like Anatol says, we track all the natural gas infrastructure being built around the world. And I think the last time and last thing, I saw from Anatol's team was around $1.3 trillion of nat gas infrastructure that's currently being built. And most of that is in Asia. I think a very small amount of that is in Europe with the FSRUs that they're currently trying to build and the interconnections into their gas pipelines, but most of that $1 trillion is in Asia. Our conversations have gone very smoothly because of our reliability. And it’s not an accident that I touched upon it in the presentation. It has been a competitive advantage for Anatol and his team to go sit across the table and say, "Look, we haven't missed a foundation customer cargo". And if your building is power plant, don't you want to have a reliable source of natural gas for that combined cycle power plant. And those conversations have went very well, which is why Anatol highlighted the fact that PetroChina is already into the 2050 with us on their contracted amounts. So they really do see the value proposition of a long-term Henry Hub based contract. 
Anatol Feygin: And just to build on that, unfortunately, the way Europe has set up its market, the pain of these very high prices is very broadly felt. The way that Asia, most of Asia has set up its market, those prices are largely irrelevant, right? Our friends at CPC are largely immune from these prices and pay a long-term contractual price that is much less volatile and much lower. And that's really what Asia is relying on. And as we look across and think about, as you do about demand destruction and the implications of these high prices. A, we're not seeing anything, right? The commitment is to not build any more coal plants, retire coal plants continue to import more LNG continue to develop more gas-fired generation, really haven't changed over the last couple of years. And one of the large reasons for that, as Jack said, is we supply a fundamentally much less volatile, very reliable and these days much lower-priced products. And the coal alternative is even economically not attractive, much less environmentally. So that's one of the many reasons why we're still so sanguine on Asian gas and LNG demand growth for decades to come.
Michael Lapides: Got it. And if you don't mind one last one and this is probably for Zach. Zach, just curious, when you think about any open capacity, whether it's in first half of 2023 or first had winter of 2023 2024, how liquid or how deep is the market? Like, if you wanted to go ahead and start locking in, call it, winter of 2023, 2024 for any open or uncontracted cargoes. Can you actually go ahead and do that pretty easily right now, or do you have to wait till you get closer to prompt months, prompt delivery for doing that?
Zach Davis: I mean, the team is selling what it can for the rest of this year into the winter and in the first half of next year, physically. And that's even trying at times with all the volatility that we're seeing. But to put in perspective financially to hedge out over a year, that's not really realistic to be done right now. I mean, 18 months ago early last year, you might have to reserve, I don't know, $15 million, $20 million, $25 million to lock in a $3 margin on a cargo for the prompt month. That's now $300 million with the volatility doubling since then. And if you can go out six months, you're almost talking about $1 billion. So financially hedging out all that far is not really realistic or tenable. So we've been most successful on locking in on a Henry Hub plus basis, or just on a fixed price basis. And what we're doing is really, reducing any liquidity risk and taking on likely more credit risk, but that's why, even on the short-term book these days, it's just as essential working with IG counterparties that are reliable or those that can post enhanced credit support upfront.
Michael Lapides: Got it. Thank you, guys. Much appreciated.
Jack Fusco: Thanks, Michael.
Operator: Thank you. Actually, we will now be taking our last question today from Michael Blum with Wells Fargo.
Michael Blum: Thank you. Good morning everyone. So you're clearly going to be adding a lot of capacity in the future here. I'm curious for your latest views on construction costs. I know in the past I think you've talked about per tonne range. But is that -- does that still make sense? And I guess on a related note, can you talk about the cadence of Stage 3 CapEx over the next few years?
Jack Fusco : Yes. So I'll take part of that question and then I'll turn it over to Zach. We have an extremely strong relationship with Bechtel. They built our first nine trains. We had early meetings with Bechtel. We locked in on some of our major equipment with our major equipment suppliers with Bechtel early to help manage the inflation and then Bechtel did a full wrap on Stage 3. We saw some inflation, but it was manageable and a relatively small number on Stage 3. A lot of that is the design, since it's smaller trains. It uses a lot less nine nickel steel than some of the larger trains the five million-tonne trains. Our Stage 3 trains are 1.5 million of train. And in that case, they use more aluminum, less mine nickel and aluminum prices haven't escalated as much and we were able to lock in those prices and still get within that $700 a tonne range. With that, I’ll turn it over to Zach.
Zach Davis : Right. I think just locking in the contract and doing that aluminous know [ph] procedure even in early March, huge advantage to us that probably set Stage 3 apart from most other projects that are trying to get done this year. And as Jack mentioned that $600 to $700 a tonne on an unlevered basis that's correct. That's including contingency the six times CapEx to run rate EBITDA of, let's say, one 1 billion to one two billion that's good too. And that's where we stand today. And if you think about our financing we raised 50% leverage on it. So it goes a little over $7 billion when you add the interest costs and the financing fees that's SOFR plus 150 so less than 4% funding. We're going to delay draw that over time with equity. So it's about $800 million a year for debt and equity on average through construction. 
Michael Blum : Got it. Very helpful. And then just one other really quick one. O&M expense at CQP was up, I think, like 12% sequentially this quarter. I'm assuming that's just Train 6 being fully in service, but I want to confirm that and also just ask if that's kind of the new run rate? Thanks.
Zach Davis : Yes. I think you got it. That Train 6 for a full quarter. There was a little extra maintenance so it can go up and down quarter-to-quarter, but that's about right. And that's why you saw the O&M be up a bit this quarter.
Michael Blum : Great. Thank you.
Jack Fusco : Well, thank you everybody. We appreciate your support and stay tuned.
Operator: Thank you so much. And that does conclude today's teleconference. We do appreciate your participation. At this time you may now disconnect.